Operator: Good day and welcome to SNC-Lavalin's Fourth Quarter 2015 Earnings Conference Call. [Operator Instructions]. At this time I would like to turn the conference over to Denis Jasmin, Vice President of Investor Relations. Please go ahead Mr. Jasmin.
Denis Jasmin: Thank you. Good afternoon, everyone and welcome to SNC-Lavalin's 2015 fourth quarter earnings conference call. Today's call is also being webcast and a replay will be available on SNC-Lavalin's website within 24 hours. With us today are Neil Bruce, President and Chief Executive Officer and Alain-Pierre Raynaud, Executive Vice President and Chief Financial Officer. Our earnings announcement was released this morning and we have posted a slide presentation on our website which we will refer to during our call. Before we begin, I would like to ask everyone to limit themselves to two or three questions to ensure that all analysts have an opportunity to participate. You are welcome to return to the queue for any follow up questions. I would also like to remind you that, as detailed on slide three, certain statements made during today's call and slide presentation about expected future events and financial results may be forward-looking and therefore subject to risks, uncertainties and assumptions. These are described in our financial documents and could cause actual results to differ materially from what may be inferred from the forward-looking statements. Such forward-looking statements represent management's expectation as of today and, accordingly, are subject to change. We disclaim any intention or obligation to update any forward-looking statements except as required by law. You will find more information about the risks and uncertainties associated with our business in our financial documents filed with the Canadian Securities Commission which can also be found under the investor section of our website. I would now like to turn the conference over to Neil Bruce.
Neil Bruce: Merci, Denis. Good afternoon everyone and thank you to all for joining us today. On today’s call we will review our segmental performance, our fourth quarter and full year of 2015 financials, as well as discussing our outlook for 2016. But before, I would like to review our recent accomplishments and remind you of our priorities. We’ve worked diligently to reposition ourselves to better reflect market realities and create a company that is easier to do business with or customers and partners. We need to equip to tackle the headwinds that are affecting our market place as well as being prepared to face upto new ones. Flexibility and an ability to respond quickly are key to this. Therefore, we have already taken meaningful steps in the new chapter of our five year strategic plan improving operational efficiency and execution in all our businesses. We made smart strategic organisational changes to be more competitive and agile and identify a significant number of cost reduction initiatives through our STEP Change program. This program was successful completed and should deliver twice its $50 million implementation cost this financial year. Our focus has now turned to improving operational excellence in order to sustain a culture which prices efficiency and execution. Let me give you a brief recap of our priorities which you can find on slide 5. First, a streamline structure, we’ve actively been simplifying the way we work over the last six months and will continue to do so. Second, focus on delivery, SNC-Lavalin has lived through many distractions and our employees have coped admirably for a sustained period of time. Now we are directing all our focus and energy towards consistent delivery. We will continue to invest in our client facing teams and world class execution capability and want all our shareholders, customers and partners to have full confidence in our ability to deliver on projects. I believe we’ve done this in Q3 and now again in Q4. But we appreciate that we need to deliver to our expectations consistently to have the full confidence of all of our stakeholders. Third, our performance driven culture. We have delivered good performance in 2015 and have increased our ambition for 2016. I have set some clear targets including delivering an annualized adjusted E&C EBITDA margin of 7% in 2017. And fourth, growth. Both organically and through acquisitions our significant capital resources and funding capacity provide us with the ability to support growth through acquisitions. But only once, we have demonstrated our ability to deliver sustainable and consistent improvement to profits. We will continue to add capabilities in greater depth where we have a market edge. We are also working at winning new major contracts in each of our sectors. We have excellent prospects for growth, a strategic plan to deliver and a financial flexibility to support our ambitions. Most importantly we can rely on a highly dedicated mobile and multi culture to work force. We are entering 2016 with a strong balance sheet and a steady and diversified backlog, which gives me confidence in the strategy we have outlined. As a result of the diversity in our market segments the broad offering within each sector as well as our restructuring efforts we are well positioned to continue to offer our clients the most suitable innovative and cost effective engineering solutions for their needs. So now looking at the segments beginning with slide six, our Oil & Gas sector continues to perform well and we see many prospects and opportunities ahead particularly in the Middle East region. This sector in 2015 generated $3.9 billion of revenues and 7.7% EBIT margin. It also closed the year with a $3.6 billion backlog. As you know the Oil & Gas industry continue to face very challenging global market conditions including low oil prices. The impact is our clients are strategically shifting our spending priorities especially in New York stream side of the business from new developments or CapEx to sustaining their existing capital investments. Clients focus is transferring towards improving their current operations and trying to make them more efficient. Fortunately our Oil & Gas business has tremendous engineering and construction expertise and capabilities across all phases of the project life cycle, which makes us less vulnerable than certain other f the infrastructure and processing facilities for the gas field. We are recognized globally for our agile and responsive approach, our expertise in sustaining capital investments, encompassing greenfield, engineering and construction services. Quick supplement, production and create improvements through the life span of a client facility as well as maintenance shutdowns and turnarounds and operational support. We expect this sector to continue to perform well in 2016 and be one of the main contributors to our net income. Note that in November we were also awarded a contract by Qatar Gas for the water recycling facility at its Laffan Refinery of 80 plants in Ras Laffan Industrial City. We continue to remain cautious about the mining and metallurgy market. While this sector remains depressed by the current commodity price environment we are seeing some good opportunities particularly in the aluminium and fertilizer sectors. The mining and metallurgy backlog at the end of the year was $279 million. In November we were awarded the major EPCM contract for a greenfield potash mining and processing facility in Ethiopia. In February 2016, we were also awarded an engineering services contract to provide operation support services to Emirates Global Aluminium. Two aluminium smelters in the UAE, this sector generated for the year $781 million of revenues and a 9.4% EBIT margin. The power sector has good potential for new, nuclear and gas fired thermal power generation power plants. In Canada and internationally, the power backlog at the end of the year stood at $2.3 billion but did not include our share of the $2.7 billion contract awarded in January 2016 for the execution fees of the Darlington nuclear refurbishment project by OPG. It will be added to the key one 2016 backlog. The sector generated for the year $1.8 billion of revenues under 6.5 EBIT margin. In infrastructure, particularly in Canada we are also pursuing some specific prospects internationally. We were recently shortlisted on two major projects, the Gordie Howe Bridge and Finch West LRT projects both in Ontario. We were also awarded a district cooling contract for the Riyadh Khalid International Airport in Saudi Arabia. The infrastructure and construction backlog was $3.8 billion at the end of the year and 2015 revenues totaled $1.8 billion and ended the year at break even. This sector should return to profitability in 2016. In Q4, we realigned our Rail & Transit business process, brands and market strategy to often a larger portfolio of expertise and an end-to-end client service offering. This strategic move unites SNC-Lavalin's outstanding global rail & transit expertise under one umbrella bringing together over 1,500 engineers and experts in construction and operations and maintenance across the world. The operations and maintenance backlog stood at $2 billion at the end of the year and 2015 revenues totaled $1 million with an EBIT margin of 5.3% for the year. Lastly on slide 11, as you may have noticed we’ve changed the name of our investment capabilities from ICI to Capital. We believe Capital better reflects the scope of the companies’ investment activities that will be offered across our four sectors to increase business development and strategically monetize our matured assets to maximise return on equity. Capital will implement a development approach creating business development opportunities in close collaboration with all four sectors and business partners as well as cross sector investment opportunities. The new structure that we want to put in place for a certain number of our North American concessions excluding Highway 427 is progressing well and we expect to make an announcement in the first half of 2016. As for the international concessions they will be looked at individually on a case by case basis. In February, we have reached an agreement to sell our indirect ownership interest in the Malta International Airport for a cash consideration of €63 million. We expect the transaction to close before the end of the first half of 2016. This is a good example of our approach to monetizing high quality investments when opportunities arise, thereby demonstrating an underpinning the significant underlying value of our equity portfolio. In the meantime Highway 427 continues to deliver very good results with year-over-year increases of 30% in revenues and 3% [Indiscernible] as well as an increase of 14% in EBITDA. Now let’s move onto the results, turning to slide 12. We are pleased with our quarterly results. We delivered on our commitments and met our 2015 guidance. We maintained a strong balance sheet which we believe is essential it allows us to continue to invest in our client facing teams and world class execution capability and gives our customers and partner’s confidence in our ability to deliver on projects. Despite the persistent softer economic environment we’ve also maintained a stable and diversified revenue backlog of $12 billion at the end of the year. Again, note that this excludes two recently major awards in nuclear power and Oil & Gas worth approximately $2 billion. We are introducing our 2016 range outlook for our adjusted EPS from E&C of $1.50 to $1.70, which represents a significant increase in a challenging market. We are capitalizing on our performance improvement and on our diversified E&C model operating across our four sectors of activity. In summary, we met 2015 guidance, delivered on our commitments and are raising up 2016 with respect to adjusted EPS from E&C. Despite the turbulent market and persistent softer economic environment we are entering 2016 with a strong balance sheet and a steady and diversified backlog. We have successfully completed the STEP Change program but we will continue to take additional measures throughout the year if required to ensure we achieve our 2017 EBITDA margin target. Our focus will now turn to improving operational excellence in order to sustain a culture of efficiency and execution. Finally, I would also like to thank our team who work tirelessly with the Public Works and Government Services Canada to reach an administrative agreement. In brief, it allows SNC-Lavalin to continue to survive greenfield services to all Canadian Federal department and agencies both at home and abroad. With that, I’ll pass the call over to Alain-Pierre to go over our financial results in more detail
Alain-Pierre Raynaud: Thank you, Neil. Good afternoon, everyone. I will continue on slide 12. E&C reviews for the quarter were in line with last year but increased by 9% compared with third quarter of 2015. Year-over-year, we saw revenue increases into of our segments, namely Oil & Gas and infrastructures and constructions, while mining and metallurgy and operation and maintenance decreased. Revenues for the power segment also increased reflecting the fact that revenues generated between the company and AltaLink are no longer -- in 2015. If we remove this elimination part, total revenue actually decreased. For the second quarter in a row EBIT margin was positive for all segments. The segment EBIT from E&C substantially improved to $191 million in the quarter compared with a negative EBIT of $169 million in 2014. The negative EBIT in 2014 was mainly due to charges related to the restructuring and rightsizing plan and unfavourable cost refocused while the 2015 EBIT benefitted from higher gross margin ratios and lower SG&A expenses. Actually SG&A expenses from E&C in the fourth quarter were $205 million or a ratio of 7.9% over E&C revenues. SG&A expenses ended the year at $825 million which represents the ratio of E&C revenue of 8.8% compared to 10.4% at 2014 and 11% in 2013. On a like-to-like basis, i.e. as to [Indiscernible] and corporate initiatives, SG&A expenses decreased by almost $200 million between 2013 and 2015. We actually absorbed all Kentz incremental SG&A expenses in 2015. The segment EBIT from capital decreased to $49 million in the quarter compared with $1.7 billion in 2014 this equation is mainly explained by a gain of $1.6 billion before taxes on the sale of AltaLink in 2014. Additionally, I’ll remind that AltaLink is no longer contributing in 2015 whereas the contribution of AltaLink were included in the Company’s’ result in 2014 as it was sold on December 2014. Adjusted EBITDA margin from E&C was 5.6% for the fourth quarter of 2015 compared with 0.3% for the fourth quarter of 2014. This is mainly due to an improved adjusted EBIT from the Oil & Gas and in fuel and construction segments and will yield G&A cost reduction from STEP Change program throughout the sectors. Our adjusted net income from E&C was $66 billion, or $0.44 per diluted share compared with $23 million or $0.15 per diluted share last year. Now, let’s talk about our balance sheet. Our balance sheet remains strong, with the cash balance of $1.58 billion at the end of December slightly higher at the end of December. In the fourth quarter of 2015, company generated $244 million in cash flow from operating activities, compared to $1.67 million in the third quarter of 2015. The Company also returns $37 million to shareholders through dividends in the fourth quarter and we paid the short term recourse debt of $90 million. The only recourse debt outstanding at December 31, 2015 is 350 debentures which are due July, 2019, accordingly our recourse debt to capital ratio stand at 9%. We believe that as we speak today, as this number can vary depending on the stage, the size, the location and the number of projects that we have. The company requires approximately $1 billion of cash for its operation, this now exclude any potential outcomes from the ongoing investigation and class actions. Now, moving on to slide 13. Our revenue backlog at year end was $12 billion, and as mentioned by Neil, backlog excluded two recently merger awards was approximately $2 billion. Our backlog is well diversified between our segments and the mix pressure was 51% Canadian and 49% non-Canadian. The percentage of reimbursable contrast in our overall backlog was 40% at quarter end. Bookings on the first quarter were $1.9 billion and include $900 million of bookings in the oil and gas segments and $400 million in the infrastructure segment. Turning to slide 14, given the company’s long term outlook, cash position and diversified backlog were increasing the quarterly dividend by 4% to $0.36 per share, while many competitors are cutting or removing the dividends. Note that the Company expects quarterly dividends for 26 consecutive years and that increased its yearly dividend for each of the past 15 years. Note also that were 2015 return to shareholders was better than the Toronto’s Stock Exchange composite index. This concludes my presentations. We can now open the line for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Yuri Lynk from Canaccord Genuity. Please go ahead.
Yuri Lynk: Good afternoon. I wanted to dig in a little bit into the EBITDA margin cadence, as we move into 2017 and the 7% goal, I mean, do we start to see real progress on that goal in the back half of this year? And can you just confirm that that’s an average margin for 2017 and not an accelerate?
Neil. Bruce: It’s definitely an average margins for the year, not an accelerate. And we will be progressively working from first quarter through the fourth quarter to try and achieve. And I think as I talked before this is really coming from three main things which is the STEP Change program in terms of reducing our cost base. And we’ll continue not in this STEP change program but we’ll continue to be very vigilant in the cost base as we go through 2016. It’s also the operational excellence program that we are launching at the end of Q1, so at the end of this month. But also just better more consistent performance on delivery of our project. So if you take this three of them, that’s really, what makes up the confidence that we have in terms of been able to deliver that?
Yuri Lynk: Okay. That’s helpful. I guess the STEP Change is that – so that’s about $100 million benefit in terms of lower cost, is that all incremental in 2016 and did we see any of that in 2015 and is that all on the SG&A line?
Alain-Pierre Raynaud: It’s all on the G&A line and the vast majority of it is incremental in 2016. That might be a little bit that saw interesting that we realized at the end of quarter four, but effectively the vast majority incremental in 2016.
Yuri Lynk: Okay. And then just to get to the 7% again, so I get that part on the G&A. I mean does the operational excellence, does that speak to higher gross margins as well? I’m just trying to do the math to get there, if it’s just all SG&A or if we are going to expect some margin improvement?
Neil Bruce: No. It’s all about -- I mean operational excellence is looking at every aspect of our business. So it is SG&A but it is also gross margin. It’s also about improving our cash flows. It’s every aspect of our business. So, we are looking for increased performance in all of the lines. The one thing I would add is I wouldn’t necessarily sort of draw a straight line between exiting ’15 and just assuming that quarter-by-quarter that’s going to be delivered because as I say, the operational excellence program gets launched at the end of Q1. So therefore, the benefits of that you will see accelerating through Q2, Q3 and Q4 to help us get to the 7%.
Yuri Lynk: Right. So, sequentially will step down from the 5.6% we saw this quarter, right?
Neil Bruce: Not really sure in terms of all of that. We’ve got some work to do but across the four quarters, we are confident about achieving our target.
Yuri Lynk: Okay. And then last one, I will get off here. Can you just give me the dollar amount of projects that are at zero or negative margin in the backlog?
Neil Bruce: I mean mixed. It’s really mixed and I think it is becoming pretty insignificant now. We talked before, I think, previously management talked about six legacy projects in the bulk of that. So, I just think is a loss contract. And again, as we talked before, we have perform peer reviews, reviewed the project and we are pretty confident about the outcome of all of that. So it is pretty insignificant.
Yuri Lynk: Thanks guys. I will turn it over.
Operator: [Operator Instructions] Our next question will be from Anthony Zicha from Scotia Bank. Please go ahead.
Anthony Zicha: Yes. Hi. Good afternoon. Neil, looking at your backlog you mentioned that 60% fixed price 40% reimbursable. Do you expect the change in the mix for 2016 and what would be an optimal mix for another yet and any color on the proportion of services?
Neil Bruce: Yes, we will effectively. What you really have seen in this quarter and one of the changes is very much looking at contracts from the lump sum and a reimbursable perspective. And that’s the reason that we are also giving the numbers in a flavor around all of that to better reflect the type of contracts that we’ve got there. I mean, ultimately, I think in an E&C business, if you are too reimbursable then I think is really, really difficult to grow, especially in this environment. And ultimately, if you are too lump sum then I think you are introducing a degree of risk. So from our perspective, we believe that a 60-40 or a 40-60, within that range is pretty optimal. I mean, if we could determine and choose which we can’t, 50-50 would be or 60-40 would be fine. But we are really trying to operate within that 60-40, 40-60 envelope.
Anthony Zicha: Okay. And considering that your cash ratio of $1.6 billion and I believe I think I had mentioned that you need about a $1 billion. Can you give us a bit of a breakdown on the infrastructure side and as well as on the Oil & Gas side? How much working capital you would need separately? And my last question is with reference to again, your balance sheet and opportunities in acquisitions, how important are acquisitions in SNC’s future?
Alain-Pierre Raynaud: I will answer the first part and maybe deal with the second part of your questions. First, in term of cash position, I remind that the simplicity first is just a cost update though it is photography of instance, it does reflect our cash position we have for the year. As you know maybe that we are paying a lot of -- we have to pay a lot of expenses during quarter one, for instance interest on our debentures and so on and so on. So, closely speaking, we consider that we are comfortable with $1 million minimum to run our business and considering potential outcome from our ongoing legal affairs and some uncertainty, therefore between 10 and 20 days of our revenues is a right amount of cash to have. In term of sectors we don’t disclose the cash needed by sectors, but you have to know that a substantial part of our restricted cash is coming with PCB program obviously or let’s say, joint venture, with partners in oil and gas and infrastructures. Nevertheless, what we observed that from sectors or analysis point of view, each of them restore their ability to generate case from their operating activities and you have observed that during Q3 and Q4 and we’ll continue this strength over toward 2016.
Neil Bruce: I think with regards to acquisition you won’t hear us talk much of acquisitions at all in the first half of this year. As we previously said, we’re concentrating on delivering performance and that’s really what we want the organization to focus on. But assuming that we do deliver and we do instil stakeholder confidence back into the business and our ability to deliver than acquisitions are absolutely part of our five-year strategic plan. We want to be able growth within full or chosen sector. We believe that the diversified E&C module across all four is the right approach. And ultimately we see opportunities for us to expand within these four sectors, within key aspects, within that sector in terms of technical capabilities and also geographies. So, it’s a key part of the five-year strategy but you won’t hear see us talk about acquisition much in the first half of this year.
Anthony Zicha: Okay. Well thank you very much, gentlemen.
Operator: Our next question is from Sara O’Brien from RBC Capital markets. Please go ahead.
Sara O’Brien: Neil, just following on the no comments about acquisition until maybe in the first half of 2016 at the earliest, just wondering does the requirement for an acquisition preempts the sale process of your major concessions at this point? Or would you see those as independent in terms of timing?
Neil Bruce: Yes. We see it as independent
Sara O’Brien: Okay. And then, just wondered if in terms of the on the legal front and APR you twice mentioned the $1 billion in cash required to operate excluding any legal liability. Is there been any change on that front, I know there’s a preliminary hearing date for 2018, but I’m just wondering is there a difference in terms of expectation to becoming closer to some kind of a settlement or some kind of a payout?
Alain-Pierre Raynaud: Well, I think you saw last Friday that the preliminary date was set for September 2018, like two and a half year and that’s a preliminary piece. So, a conclusion of all of that, you could sort of guess when that would be 2020, 2021 maybe. So from that perspective you know we really do believe that from a competitiveness perspective, I really do think that SNC-Lavalin and any other Canadian company who ended up in the same position as us is a serious competitive disadvantage versus our U.S. and European peers. And not surprising –you wouldn’t be surprise to know that we do believe that some form of deferred prosecution agreement should be implemented in Canada not just for us but for all Canadian companies that are at a serious competitive disadvantage in the international market.
Sara O’Brien: Okay.
Operator: Our next question is from Michael Tupholme from TD Securities. Please go ahead.
Michael Tupholme: Thanks. Just want to go back to the STEP Change program, the $100 million is that an after tax savings number?
Alain-Pierre Raynaud: The $100 million is just straight off of the G&A.
Michael Tupholme: Perfect. And then, as a follow on to that, are you able to provide a little bit more detail around how those savings will be spread across the various segments and also within the corporate SG&A level?
Alain-Pierre Raynaud: Well, in terms sort of allocation we preferred not to do that. I think it’s quite important to give our sales but also to give you visibility around home sectors are performing and which is what we try to do in this presentation which is a little bit different from previous presentations. And then, ultimately you can see the G&A below these lines. So it’s not our intention to allocate back across sectors.
Michael Tupholme: Fair enough. Just maybe one further point on that, is it fair to say Neil that the STEP Change program at least touches all of the various areas maybe to different degrees but there is some benefit experienced across the various segments in corporately?
Neil Bruce: Absolutely. No, no, the STEP Change was not just on our corporate G&A line, it was on G&A corporately plus in all four sectors, because some of the G&A is actually items of expense that affectively is in the cost of sales and is not on the central corporate line.
Michael Tupholme: Okay. Perfect. And then, you talked about expecting a return to profitability in the infrastructure and construction segment in 2016. I just wondering if you can provide a little bit more detail around your outlook for that segment on the margin part of it?
Neil Bruce: Generally we’re talking about the full year of 2016, because as you would have seen infrastructure has been profitable in the last two quarters and we expect that to continue. So…
Michael Tupholme: I guess, that’s a good point. I mean, it has been profitable last couple of quarters. Would you expect to – fair to say, you’d expect to see continued improvement in the margin from that what you saw in the back half of 2015 as you progress through 2016?
Alain-Pierre Raynaud: I mean, we’ll continue to drive that, absolutely, I think in Q3 you saw an acceleration of a couple of things, I think it was $20 million that we delivered in Q3. But yes, absolutely, we are continuing to drive the performance from a base of where we in Q3, Q4, not starting again.
Michael Tupholme: Perfect. I’ll turn it over. Thank you.
Operator: Our next question is from Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: Good afternoon. I just wondering if you could tell me if the gas field project contract at you won or at least last week, is it a cost reimbursable contract?
Neil Bruce: It’s a bit of a mix, but ultimately we are still waiting upon the client’s approval to be able to disclose more details. They were happy to disclose, because it so significant. They were happy to disclose the amount. But we’re still working with them in terms of the details of the release.
Frederic Bastien: Okay. There were some suggestions in the press that you bid much lower than the second lowest bidder. Did you provide some comments there?
Neil Bruce: Well, I think our suggestion also said, the value of the contract is 500 million, so…
Frederic Bastien: Correct. But it was from U.S. source, so if could be US$500?
Alain-Pierre Raynaud: It still doesn't quite add up, but that's just speculation. If you look say; I mean, if you look at our objectives, having a strategy that would suggest they doesn’t really fit well with our EPS targets in our 7% EBITDA for 2017.
Frederic Bastien: Okay. Then you mentioned that the timing of potentially large M&A isn’t dependent on you divesting of 407, but is it fair to say or fair to conclude based on your comment about execution in the first half that it’s not a priority right now?
Neil Bruce: The divestment of 407 is not a priority.
Frederic Bastien: Correct.
Alain-Pierre Raynaud: It consistent with the loss with Q3, our priority is on performance delivery of E&C business and will focus on that.
Frederic Bastien: Okay. That’s great to hear. Thank you.
Operator: [Operator Instructions] our next question will be from Maxim Sytchev from Dundee Capital. Please go ahead.
Maxim Sytchev: Hi. Good afternoon, gentlemen. Just have a question in terms of materiality on the M&A front. And how that squares against your commentary in relation to requiring capital on the balance sheet, just trying to get a sense, hypothetically you were looking at largest scale acquisitions, how that could be finance or right now the priority is really adding specific expertise/tuck-in acquisitions? Thanks.
Neil Bruce: Well, I think at the moment say, as Alain-Pierre said previously, we got the cash position at the end of the year, we do have requirement of $1 billion. We also have the opportunities not just in terms of acquisitions but also to bid un invest on large infrastructure projects. Hopefully, we will be and we are doing that and hopefully we’ll be winning within arena, so the whole piece is around to – it’s not just about tied completely to the acquisition piece. And potential acquisition for the future. I mean, it is a little bit more complicated on LAB. But I think we’ve also said on quite a few occasions that we are very mindful of the fact that we are not looking to keep large amounts of surplus cash and not do something with it. So, we are continually interviewing the allocation piece and we will certainly do what we think is right for shareholders any given point in time.
Maxim Sytchev: Okay. That’s very helpful. And maybe just one quick question in relation to visibility on Oil & Gas front in terms of what opportunity that you are seeing, I guess predominantly is going to be in the Middle East but if you can provide some additional color on that segment, it will be much appreciated?
Neil Bruce: So, I think actually said, I think we are -- so, we are quite defensive playing with regards to the Oil & Gas sector. So if you just take things like, as Whiteley reported that there is $400 billion worth of CapEx projects that have been either cancelled or deferred, they are in the mean, they are upstream projects. They are in high cost capital areas. They are in deepwater, upstream, offshore and basically, we don’t play in any of that one. Our expertise is very regionally focused, low cost capital areas. I think we’ve talked, I mean from well over a year that our real focus is the Middle East. They are in mindful of the fact that people are asking us about backlog and replacement on for Gorgon going forward and the Middle East is absolutely our focus. That’s where I think we are quite unique in certain areas and services. And we continue to see a lot of opportunities out there for us, especially in Middle East and there is some in the U.S. as well in terms of midstream and downstream opportunities. And there is no doubt, I’m certainly not seeing there isn’t sort of pressure there at all because the one thing that’s coming, it doesn’t really matter whether you are talking about upstream, midstream, downstream or wherever you are in the world. There are cost pressures and there is margin pressures. So, we see that too. And that’s why I think -- again, we talked about, we see a good pipeline. We see we are relatively confident around our revenues but we do see pressure on margin. So, we are looking at various ways of trying to counter that by either finding some smarter ways to deliver for our clients where the margin becomes less important or in some cases, we do need to give up a bit on the margin. But again, back to the earlier question around STEP Change, we implemented STEP Change across all four sectors including Oil & Gas and we were trying to make sure that the G&A reduction was attempting to compensate the pressure on the gross margins. I’m not sure it will quite work out that way. So therefore, there will be a bit of pressure on the margin itself. But from an activity level perspective, we are pretty confident.
Maxim Sytchev: Okay. That’s very helpful. Thank you very much.
Operator: Our next question will be from Michael Tupholme from TD Securities. Please go ahead.
Michael Tupholme: Thanks. Just a couple quick follow-ups. In terms of the corporate SG&A expenses, they were pretty high in the quarter and I realized that it sounds like those should be coming down in part due to STEP Change but is there any guidance you can provide around how to think about SG&A in ’16 and also was there anything unusual in the fourth quarter?
Neil Bruce: I think in terms of guidance, we try to sort of look at, giving the idea around $50 million to offer clients to implement and we expect double that in savings and that’s probably as far as we’d really want to go. I don’t know if there is anything…
Alain-Pierre Raynaud: First, they are very similar to Q4 2014 to 2015 compared to ’11. Second, this year we have been negatively impacted by foreign exchange adverse effect coming from USA. Full-year basis, this amounts range in the $20 million to $25 million and has been very important in Q4 2015. So saying that you have to keep in mind that the cycle of our G&A in Q4 is systematically higher than in the previous quarter due to let’s say a certain number of your regular expense coming during this quarter. But let’s say when you go back to register where you have no difference and we are pretty efficient on a full-year basis as it has been already explained. So the quarterly variation is not significant.
Michael Tupholme: Okay. Sorry, I’m not sure I’m totally clear on this. I understand Neil’s comment I guess about STEP Change is a benefit to the entire SG&A line. I guess what I’m looking at is, the Note 3 segmented disclosures where you actually breakout the corporate SG&A and so it was $72 million amount this quarter and in the prior year, it was $11.6 million. It’s a big difference to year-over-year and a big number compared to prior quarters in ’15 as well, that’s why I’m wondering how we think about that?
Denis Jasmin: Michael, it is Denis. If you look into our MD&A on section 8.6, we actually explain the increase is corp SG&A and that explanation there, you can apply it to the Q4. Note also that in 2014, we did have a refund or revenue coming from the Riyadh [Indiscernible] case, where we got refunded amount, so that was understated for sure.
Michael Tupholme: Okay. Perfect. And then just one more from me. Within the Mining segment, the margins have been pretty strong there through the first three quarters and then if you look at them in the fourth quarter, if you adjust for the favourable amount you received there, looks like the margins were negative. Can you just help me think about -- I realize that’s an end market that’s under a fair bit of pressure but how do we think about that area?
Neil Bruce: I mean, I think you’ve got to look at these margins more as -- obviously it’s across the year. I mean, quarter-by-quarter, we can have sort of fairly -- you can have fairly large variances depending upon the project is starting or completing or before we’ve completed, a major milestone that triggers a release of contingency because we’ve gone past a given risk. So, I’ve encouraged people really to look at more of the yearly overall margins and all four sectors could go, could very well go up and down in any given quarter. But you really need to look at probably at least two quarters, three, four quarters and we’ve got confidence in the averages. We’ve got less controls over the quarter-by-quarter EBIT margins.
Michael Tupholme: Okay. That make sense. All right. Thank you.
Operator: Our next question is from Sara O'Brien with RBC. Please go ahead.
Sara O'Brien: Hi, just a quick follow up FX. Just wondered how you know with backlog a good chunk coming from international, how FX plays into the guidance for next year in terms of mix of revenue coming through?
Neil Bruce: I mean, we don’t disclose, we don’t go away and sort of analyze all of that, I mean clearly we like working and getting paid in U.S. dollars.
Alain-Pierre Raynaud: But on top of that we can remind the basic principles as you know we don’t take, we are risk adverse versus for any change i.e. we are going to analyze our work [Indiscernible] to neutralize this effect as much as possible, obviously we have to face any commercial effect from our -- U.S. dollar functional currency to Canadian dollar functional currency particular to that we are not let’s say [Indiscernible] not to hedge all our position, either with capital hedge or specific operational markets we don’t leave open any of our project.
Sara O'Brien: Okay, so you would hedge your receivables I understand but the translation impact of your profitability would come through in your bottom line.
Neil Bruce: Yes, yes.
Sara O'Brien: Okay, so I just wondered if that’s a net positive going into 2016 relative to 2015?
Neil Bruce: I’m not sure, it’s going to be significant.
Sara O'Brien: Okay. That’s it from me, thanks.
Operator: Our next question is from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: Thanks again. Just a clarification. Alain-Pierre, when we think of excess cash, should we subtract the $1 billion in cash to support existing operations from the $1.6 that you have on the balance sheet or the $1.2 net of recourse debt?
Alain-Pierre Raynaud: We are considering a cash position net of frequent debts and secondly once again I’ll remind you that December 31st is a cut off date, it is not representing the average of our cash position all over the year.
Frederic Bastien: Okay, I appreciate that. Thanks.
Operator: [Operator Instructions] We’ll take our next question from [Indiscernible]. Please go ahead.
Unidentified Analyst: Yes good afternoon gentlemen. If you come back on the Oil & Gas margin obviously a pretty strong quarter. I was just wondering if you could provide any color on how sustainable it is for 2016 and if there was any particular non-recurring items in the quarter.
Neil Bruce: Well I think because I sort of said in one of the previous questions. I think you’ve going to look at the year’s average in terms of not being more representative. And we are under margin pressure. We’ve done quite a lot of work in terms of trying to mitigate that, but I would look at the overall 2015 number and apply a view around -- a decrease in margin of some sort there. We’re trying to mitigate it but it is constant negotiation.
Unidentified Analyst: And just for the infrastructure segment obviously 2.1% lower performance versus Q3, just wondering whether it reflect the early contribution of Eglinton and also Champlain Bridge, and what type of improvement we might see next year?
Neil Bruce: No. I mean, there wasn’t really – there wasn’t massive amount in there for this project. I mean, they’re right at the beginning. If I understood your question right, and if I haven’t then please ask again, but I think infrastructure in Q3, we did half at some additional benefits that came forward. That was originally expected to transpire in Q4 and they came forward I think its $20 million or so. So therefore in a peer quarterly margin perspective Q3 look really good and Q4 not quite so good, and again I think that’s why it’s important looking at our business. I wouldn’t be trying to look at any given quarter and try and take that as a trained. I think you got to look at – try and look at the annual numbers and what we’re trying to achieve. Bearing in mind that, we’ve been very clear that infrastructure return to profitability in Q3 and Q4 and we expect that to continue.
Unidentified Analyst: Okay. And just in terms of working capital items, I mean, you’ve been pretty successful to lend that some large piece this year and there are still sizeable opportunities in 2016. Just wondering whether we could expect some big changes in terms of working capital through 2016?
Alain-Pierre Raynaud: Let’s say what we – as you will notice that we’re working capital is very solid on the liability side. In terms of change in working capital we hope to maintain this position and even to try to improve it. We have launched a series of initiatives. We already explained that in term of working capital management and on top of that we have a certain number of pressure with charges appearing, let’s say the usage of reserve on our Legacy project which are now completing only [Indiscernible] which will release the pressure on our working capital obviously.
Unidentified Analyst: Okay. And last one for me. If we look at the power sector you mentioned a good contribution obviously in 2016 with the ramp up of Darlington. I was just wondering whether its’ more specific to Darlington or are there any other projects opportunities and what also should we expect in terms of ramping up Darlington?
Neil Bruce: Well I think you will have a gradual sort of increase in the Darlington market. I mean, the power sector has a number of really good opportunities especially in terms of the work that we are doing within hydro and nuclear at some thermal power, probably less so in terms of T&D because we -- as we’ve previously stated T&D was very linked to the ultra link investment program and that’s come down considerably. So from a power perspective it’s nuclear is high quality long term work and we absolutely think it’s fantastic to get that into our backlog and our portfolio, but there are other good opportunities there as well in terms of hydro and thermal power.
Unidentified Analyst: Okay. And Bruce, just related to the Bruce [ph] project what is your kind of expectation in terms of timing with respect to the contract, the nuclear work?
Neil Bruce: Well I guess that’s up the customer, but you know we would like to see something moving on that, certainly in the next quarter, but ultimately that’s in the hands of our customer.
Unidentified Analyst: Perfect. Okay, thank you very much for the time.
Operator: That concludes today’s question and answer session. At this time I would like to turn the conference back to Mr. Denis Jasmin for additional or closing remarks.
Denis Jasmin: Thank you all for having us joined us today. And if you have any further question, please do not hesitate to contact me. Bye, bye everyone. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. Have a great day.